Operator: Good afternoon and welcome to the ServisFirst Bancshares’ Inc. First Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Davis Mange. Please go ahead.
Davis Mange: Thank you, Austin. Good afternoon, and welcome to our first quarter earnings call. We’ll have Tom Broughton, our CEO and Bud Foshee, our CFO covering some highlights from the quarter and we will then take your questions. I will now cover our forward-looking statements disclosure and then we can get started. Some of the discussion in today’s earnings call may include forward-looking statements subject to assumptions, risks, and uncertainties. Actual results may differ from any projections shared today due to factors described in our most recent 10-K and 10-Q filings. Forward-looking statements speak only as of the date they are made and ServisFirst assumes no duty to update them. With that, I will turn the call over to Tom.
Thomas Broughton: Thank you, Davis, and good afternoon. I will cover a few of the normal things that that I cover in the conference call and then Bud will talk about the numbers. We had a what we call a pretty good quarter. To start the year, from a loan growth standpoint, it was pretty typical for the first quarter. In fact, some of the years, we have better loan growth in the first quarter. This was we had pretty good C&I loan growth, but we had a reduction in real estate construction loan balances. That category declined by $75 million for the quarter. So had some payoffs -- excuse me, had some payoffs on some commercial construction that tends to be lumpy when you get payoffs when they’re going to permanent market as many of you know. Our best growth in loans was in the Tampa Bay and Huntsville markets for the quarter. And again we did have some pretty good C&I growth just offset by the real estate construction loan pay downs. From a deposit standpoint, we normally have sometime seasonal run off in the first quarter. On average last five years, we’ve had zero growth, no addition and no subtraction, zero growth in the last five years on average. Of course this year we had some run off. Three accounts accounted for that run off. Two were sale of companies before year-end, the money was on deposit. The money ran off in the first quarter. Those balances were -- and we also had another company that has a -- is a very large account that is a seasonal co-op account and the money flows out in the first quarter. So if you took all those together, there were a couple of hundred million dollars in runoff from those three accounts. For the quarter, the best deposit growth was in Correspondent in the Atlanta and Mobile markets had the best year-to-date. From a pipeline standpoint, the pipeline is consistent with its -- slightly above year-end is consistent with where it has been the last several quarters, which is strong -- the pipeline is strong. We are trying to continue to scrub on our pipeline and keep -- make sure there's not anything stale in there that’s misleading. And certainly we never -- have never represented that the pipeline is a 100% accurate. I'm sure we can make it accurate if we build a department of about 20 employees around here just to keep track of that, but I don’t think the shareholders will pay for that. So we continue to do it the way we've been doing it. The number of producers at the end of the quarter, we had 128, which is down 1 from year-end. We added five new bankers in the quarter and eliminated six production people. So that's consistent with probably where we’ve been in the last several quarters, but the number has been static. We are just trying to, as I say upgrade a bit there in our staple of production people which we think are some of the very best in the industry, we’re very proud of them, what they do for us. I’m going to stop now and turn it over to Bud to talk about some of the numbers and then I’m sure you will have some questions around probably some more of the numbers and anything else. Go ahead, Bud.
William Foshee: Thanks, Tom. Good afternoon. Our margin increased from 3.66 in the fourth quarter to 3.81 and first quarter and we had very minimal impact from our muni yield after tax reform. Our investment portfolio is only 8% of our total assets and tax exempt munis are only 21% of the total portfolio, so very minimal impact on our margin. Our excess liquidity decreased by $227 million in first quarter, which have a margin improvement. From a loan yield standpoint, we increased by 13 basis points. We had the fed rate increase in December and in March. And together those two increases added $1.1 million to margin for the quarter. Also we will have $866 million in loans that their rate will reset in April. They did not reset in March. They had an April reset date. From our total floating rate portfolio, -- excuse me, 31% of our floating rate portfolio is tied to LIBOR. $768 million of that is tied to 30-day LIBOR. a $117 million to 1-year LIBOR. Deposit cost, we increased by 9 basis points from the fourth quarter. It went from .77 to .86. And we did increase our posted rates from January 1 of this year. Noninterest expenses, our salaries increased by 580,000 year-over-year, which is 7%. During 2017, we hired a Chief Risk Officer. We added three people in compliance. We added [indiscernible], who is now Atlanta Regional President. And then we had some adds, production adds in some of our newer markets. Incentives increased $1.1 million or 59%. In the first quarter of 2017 we had a reversal. We had over accrued, so we had a reversal of 300,000 from 2016 and in the first quarter of this year we had under accrued by 331,000 at year-end 2017. So we made that adjustment in the first quarter of this year. Credit, nonperforming loans to total loans .16. And that was .19 at the end of 2017. Also nonperforming assets to total assets improved to .22 at March and .25 at the end of 2017. Then first quarter net charge-offs annualized 10 basis points to average loans and that was up in the fourth quarter. That was 56 basis points. Also nonperforming assets decreased by $2 million from year-end, they’re $15.5 million at March. ORE also decreased by $1 million from year-end and it's at $5.7 million at the end of March. From a tax standpoint, our rate for the first quarter was 17.8%. Without the stock option credit it was 21.4%. And then in the fourth quarter of last year without the deferred tax allowance adjustment and the stock option credits it was 33.7%. So our rate with tax reform decreased by 12.3%. And that's a recap and I will turn it back to Tom.
Thomas Broughton: Yes, I think we will take questions at this point.
Operator: [Operator Instructions] And our first question will come from Brad Millsaps with Sandler O'Neill. Please go ahead.
Brad Millsaps: Hey, good afternoon, guys.
William Foshee: Hi, Brad.
Thomas Broughton: Good afternoon, Brad.
Brad Millsaps: Hey, Bud. Just wanted to follow-up kind of on some of the NIM commentary, I was writing fairly quickly there. Did you -- what was the number again on the number of loans repricing that still will reprice in April, that was about $860 million, is that what you said?
William Foshee: $866 million were repriced in April.
Brad Millsaps: Okay. And this quarter, you got about 15 basis points of NIM expansion. It looks like maybe half of that was related to kind of mix? Going forward with these rate increase, would you expect a similar amount of expansion or do you think -- you talked about raising your advertised deposit rates. Just want to get a sense of how impactful further moves from the fed there, may or may not be in your opinion?
William Foshee: Let's say first, we’ve got -- one of the best thing that’s helped us over the last year is we’ve got 84% of loans with floors are now above their floors. That number slows down a little bit now on the rest of the floors. Deposit costs, that’s something we're looking at. It's going to creep up some with a -- with the fed increase. It's just hard to say what you’re going to have to do from a rate standpoint. I think we are all going to have -- all banks got to look at that. I mean, you can't -- the fed can increase 25 basis points and we sit here -- bump up our rates just a few basis points. It's just something we will have to look at each time. There is a rate increase, especially as much as we have now in money markets, because only 10% of our deposit base is CDs.
Thomas Broughton: Brad, this is Tom. I’m not -- I don’t remember exactly the last time that a net interest margin of 4 was common in the industry. It's been a while. So I don’t know what prime has to get to make that a common net interest margin. Certainly that’s our goal. It's -- we all think that to be successful in the banking business and be profitable, you need to whether you are a low-cost operator or a high cost operator, you need to have a NIM of somewhere in the 400 basis point range to be successful. So, I’m interested to see, maybe when you all got those analysts, got time on their hands do a lot of stuff, and they do -- show a chart and show the last time, what was prime and we all had a 4% margin will be a good question. But I would anticipate -- my guess is, every time we want to get something for the shareholders out of every rate increase, and that’s whether it's a 60% beta of -- I'm sure there will come one rate increase where we -- there will be a 100% deposit rate. I just don’t know where it will be. I don’t know if it's one more quarter or two quarters or three quarters or four quarters. I mean it's somewhere in there. I’m sure it's -- that’s just how it's going to happen, but to this point in time, we see competitors being reasonably rational we think, surprisingly rational. And I think the people we see paying out more than others are surprisingly are people with a large branch network regional banks like. [Indiscernible] that’s why you had all those branches. But in any event that’s what we see for the most part.
Brad Millsaps: That’s helpful and thanks Tom. And just a follow-up on the loan growth. I know it's hard to predict the pay offs and when those are going to happen. It sounds like the pipeline is really strong, but anything else about this quarter that would stick out -- did they look like the construction balances are going to kind of hold from here or maybe build some as stuff funds up in the better building months or whatever? Just kind of curious to your thoughts around predicting those pay downs and kind of how that might impact the quarters going forward.
Thomas Broughton: Yes, we are not a huge multifamily type and we won't -- that type of real estate to not be a large part of our bank's balance sheet. We want C&I to be the predominant asset class of our balance sheet. It's certainly more predictable. We think it has lower loss potential in a downturn. So large -- the problem of multifamily projects today is the minimum size is 200 units to economically manage the units. So you’re talking about a $35 million project. That’s a -- if it doesn’t run up, I mean, you’ve got a nonperforming loan, let's say a 200 unit apartment complex, that’s a pretty big nonperforming loan. So we don’t really want any nonperforming loans, a $25 million nonperforming loan which is what we would have at that point in time. So we continue to -- that’s not our emphasis on our growth, Brad, it is to the -- I think competitive stand -- competitively I think that we see pricing come down again on real estate construction project. It got firmer for a couple of years and now it seems to be going the other way. So we’re not going to -- we are going to be a disciplined lender and we are not going to make loans where we don’t think we can be compensated appropriately and we prefer to deal with the people that are serial developers that we’ve dealt with over many years that are -- have a great track record. So I’m not really answering any question Brad, but that’s my answer.
Brad Millsaps: All right. Thank you, guys. I appreciate it.
Thomas Broughton: Okay. Yes, sir.
Operator: And our next question is from Tyler Stafford with Stephens. Please go ahead.
Gordon McGuire: Hi. This is actually Gordon McGuire on for Tyler this afternoon. Good afternoon, guys.
William Foshee: Hi, Gordon.
Thomas Broughton: Hi, Gordon.
Gordon McGuire: I just wanted to start actually on reflecting back on the loans. So I noticed the average balances were up pretty nicely on a quarter-to-quarter basis, but the end of period was a little bit softer. Outside of the construction book, is there anything you can talk about as far as utilization trends this quarter and just generally what you’re -- anything you’re hearing from your market precedence as far as spend and investment expectations from your more core commercial borrowers?
Thomas Broughton: Actually our utilization is up a couple of points from the fourth quarter. We see a lot of optimism out there among the borrower base. I mean, I would -- we all have to agree that from an industry standpoint, it is not translated into strong loan demand for the entire industry. But, Gordon, from a standpoint of -- we worry about taking market share from our competitors and that's -- there's business out there to be had. There's plenty of business for a bank that’s under $10 billion of assets in the southeast United States. So we just -- we just keep plowing and trying to take -- pick up our share of -- greater share of the banking business out there.
Gordon McGuire: Got it. Thank you. So it sounds like you’re still pretty optimistic about kind of growth picking up in the back half of this year. Maybe just touching on kind of your newer markets, in Nashville in particular, can you provide an update on how that market is trending, kind of where you're at from a profitability standpoint and just kind of your expectations there?
Thomas Broughton: Yes, we raised $500 million in assets in Nashville. We are solidly profitable there today. But they’ve -- I think the mayor's [ph] done an outstanding job of -- first quarter growth rate was not -- it was good, but not great, 9% annualized for the first quarter in Nashville but it has been a very dynamic market. Our large -- largest exposure there is all C&I. A good bit of it is healthcare, because that's a big industry sector and we have almost zero, I shouldn’t say zero, but very close to Clarence -- correct me if I’m -- it's very close to zero in commercial construction.
Clarence Pouncey: We got one project …
Thomas Broughton: Okay. So there's one project.
Clarence Pouncey: … one meaningful project.
Thomas Broughton: So out of the $500 million in assets, that’s probably $20 million, $25 million project, so that’s not a meaningful number there, Gordon, but -- so we don’t really -- as far as -- if there's a -- if multifamily or hospitality or anything else is getting over built in Nashville, it doesn’t involve us.
Gordon McGuire: Okay. And just kind of switching to the deposits, just the funding side of the balance sheet, are you seeing any kind of -- any discernible differences amongst your markets as far as deposit or demand competition and where might be the pressure point in your footprint to kind of see a little bit more aggressive deposit pricing competition?
Thomas Broughton: It's probably -- if you have say, a day in and day out, the most competitive market in my career has been Atlanta. So that’s -- as long as I can remember, Gordon, I would say Atlanta is the most competitive. It happened that -- so many new banks move into Atlanta and so many -- remember the days of all the foreign bank set up loan production options there and just -- it's just -- it's always attracted a lot of competitors in the market and that by and large is -- I would have to say it's always been the most competitive and nothing has changed on that front today. There's lot of opportunity in Atlanta, but they certainly is one of the most competitive markets there is.
Gordon McGuire: Sure, sure. And so are you still pretty optimistic on seeing pretty robust deposit growth? I know seasonality probably had a good bit to do with it, but with your loan deposits, I think around 99% kind of the highest, it's been in a little bit, I guess, can you talk generally about how you’re seeing your ability to kind of match your loan growth and expectations around deposit growth this year?
Thomas Broughton: Yes. We’ve had -- we really outside of the three account balances, just to comment, two-third of the sale of the company we’ve seen really nice deposit inflows, opening new accounts has all been strong in the first quarter. So we don’t see any change there. Customer behavior, I don’t think has changed significantly. I don’t think -- these were eight levels don’t -- they’re not encouraging to pick -- take money out -- people to take money out of the market yet and buy a CD, that’s for sure. They’re still very low by historical standard. So we don’t see customers stretching for yield or do anything like that at this point in time.
Gordon McGuire: Okay. And then last thing for me, I know you mentioned you moved the posted rates on January 1. Are you able to quantify how much those moved and whether this was across the portfolio or maybe just a specific bucket within deposit base?
Thomas Broughton: So you’re -- can we say how much was attributable to the posted rate increase?
Gordon McGuire: Yes, I think [multiple speakers] back in.
Thomas Broughton: No, we didn’t break it down quite that low.
Gordon McGuire: Okay. That’s okay.
Thomas Broughton: But it's been -- honestly, CD rates and money markets were most of the -- certainly the $1 million impact there is a money markets obviously, not CDs, but those are the -- where we try to be make sure we’re continuing to be competitive. If you look at rates in the industry you go look at treasury bills and they’re kind of higher than a lot of bank rates. So -- certainly we don’t think our industry's cost of funds is getting out of hand at this point in time.
Gordon McGuire: Okay. Well, that’s all for me guys. Thank you.
Thomas Broughton: Thank you.
William Foshee: Thank you, Gordon.
Operator: The next question is from Nancy Bush with NAB Research. Please go ahead.
Nancy Bush: Good morning -- sorry, good afternoon. Could you just talk a little bit about the proposed changes in Dodd Frank? There's a lot of sort of back and forth about whether they help the smaller banks, don't help the smaller banks, could you just give your view as you know it right now?
William Foshee: Yes, I think -- certainly what we see is doing away with the DFAST testing for the $10 million bank as we’re approaching that level, that will be huge to us, Nancy. We think it would be -- save us $2 million a year and there are some meaningful changes in the mortgage side that are beneficial to us. I think in general too, just a reduced regulatory environment where there's certainly -- there's not as much contentiousness between regulators and the banks. I think we’re all seeing today having the -- the FDIC is under new leadership OCC. We see change there, perhaps coming more slowly just because those are huge shifts to turn. But -- well, I think everybody is increasingly optimistic about it, and I see comments, if somebody running a small bank says that this Senate Bill 2155 don’t do anything for my bank and that’s just not true. I mean for a bank of that size, the qualified mortgage -- the mortgage rule recast is huge for those buyers. It’s huge, especially on these local markets, you get a rural market, you can't get a Fannie Mae approval I don’t know on a $50,000 house loan in Wilson North Carolina. But so the banker in Wilson North Carolina has got a deal with it in and having a reduced mortgage rules is very helpful to the smaller banks.
Nancy Bush: Do you get a sense from your contacts in Washington or in the industry about when, if this gets passed when do we start to see the real impacts of it? Is it a late 2018 event or do we have to wait until 2019 to really see this -- the real tangible benefits hit?
Thomas Broughton: I’m not sure that most of the benefits won't be intangible Nancy I would just [indiscernible] on those, but in terms of -- not just dollar and cents cost, but just I think just in the intangible having a little bit more realistic regulatory environment. It is good for everybody, and it's good for our industry and I think it would lead to greater optimism inside the industry. So -- yes, I think it will be -- that the House seems to be in no hurry to move forward on the bill. Hopefully, they will move far with the bill as possible as possible.
Nancy Bush: Okay. And secondly, the CRE paydowns that you saw in the first quarter, is this a historical pattern or is there something particular going on this year?
Thomas Broughton: No, our historical patterns, we don’t have -- originations are typically lower in the first quarter than the rest of the year, but it is just because that they went to permanent market, I mean if you had a commercial real estate project, you can go to permanent market and get a fixed rate loan, you would probably do it as you well know. You would. I would. So they’re doing it too.
Nancy Bush: Okay. But you expect that going forward is this pattern going to uphold for a while or do you think that we're kind of seeing most of it behind us now?
Thomas Broughton: You know I think we have -- I know of one pretty good size project we are getting to paydown in the second quarter that’s 20 -- $20 million, but it's hard to say we will start some new ones, it will just take a while to build backup.
Nancy Bush: Right.
Thomas Broughton: They tend to be lumpy. The pay downs tend to be lumpy and withdrawals are very slow. So you can get some lumpy paydowns there in a quarter or two.
Nancy Bush: Okay. All right. Thank you.
Thomas Broughton: Thank you.
Operator: The next question is from William Wallace with Raymond James. Please go ahead.
William Wallace: Thanks. Good afternoon, guys.
Thomas Broughton: Hey, Bill.
William Wallace: So you talked a little bit about Nashville, I’m wondering if you could just give some similar commentary about what you're seeing in Charleston? I feel like we haven't spoken about Charleston in a little while.
Thomas Broughton: Yes, I mean, obviously, Charleston is a great market first of all. What you have a lot of there is rooftop growth that don’t really affect our bank. We don’t participate in -- we certainly don’t do a lot of housing construction and we don't do a lot of development, so that didn’t really affect and there's some very large developments north of Charleston towards [indiscernible] of all that are planned developments that are huge housing tracks that are being built as well as office buildings as well. So it has attracted a lot of competitors. I think anytime you get rooftop growth that tends to have banks want to be in that market, I think the more bank can be in a market, they can tell the analysts, especially if they’ve been in a low growth areas of the state, for example, and they moved into Charleston now, they're going to be in the higher growth Charleston market. There aren't a lot of enough good Charleston bankers to go around for everybody. So somebody is just building a branch and it's not -- don’t have the -- they’re not going to have the kind of team they need to be competitive in a market. We think our -- we think we have the best team in the Charleston market, an outstanding group of bankers just hitting the ground running and they’re having a tremendous year starting off the year. So that’s one of our bright spots. But it's just -- it's not -- I don’t think it's because of the rooftop growth of Charleston. While if it was a no growth, in Alabama, if we have those same quality of people, we would be doing the same kind of growth rate I think.
William Wallace: Okay.
William Foshee: I think the [multiple speakers] is almost a negative to say, because you get so many competitors that -- I mean, like -- in Alabama it's certainly -- Alabama is certainly one of the less desirable markets in the southeast if you had to be objective about it. But for years we’ve had banks from -- the Mississippi and other rural areas. They want to come open an office in Birmingham, , I think the streets where people go here, you scoop it up and come into town. So, yes, I think fast growth of somewhere like a Charleston is a bit of a negative sometimes.
William Wallace: Okay. But from the perspective of your balance sheet, your growth in that market is fine, I mean, it sounds like it's actually pretty positive year-to-date?
William Foshee: Yes, yes. We’ve raised profitability in Charleston and you know we’re at 2% return on assets yet, but we certainly reach profitability and head in the right direction when we think we have the very best bankers in the market.
William Wallace: Are you now profitable in every market but Tampa?
William Foshee: Yes.
William Wallace: Okay.
William Foshee: Solidly profitable.
William Wallace: I’m sorry.
William Foshee: I said we’re solidly profitable in all those markets.
William Wallace: Okay and how close do you think you are on Tampa? I know that one lagged a little bit too that’s [indiscernible]?
William Foshee: End of this year, we will be where we need to be from a profitability standpoint on a monthly run rate.
William Wallace: Are you -- okay. Are you thinking about whether or not it makes sense to enter any other markets or do you feel like with the market presence that you currently have that you got a pretty good runway?
William Foshee: Certainly from a shareholder standpoint, the cheapest way to grow is in our existing markets. We all know that, that’s a -- I’ve always -- we prefer that, but having said that, we constantly talk to people and we’ve continued to be very selective about who we bring on board to represent the bank and we look at more -- its a combination of the market and the people. If there's a market that don’t have much C&I, there's probably not a good market for us, no matter how good the people are, but the good people in a non C&I market, they’re commercial real estate people for the most part. So that’s just not a fit for us and you and I both know the commercial real estate type of customers don’t generate lot of positives to go along with it. So all of our regions have to generate their own deposits, so that’s why we put such a focus on the C&I type bankers.
William Wallace: Okay. Thanks. That’s all I had. I appreciate your time.
William Foshee: Thank you, Willy.
Operator: [Operator Instructions] Your next question is a follow-up from Tyler Stafford with Stephens. Please go ahead.
Gordon McGuire: Hi, guys. This is Gordon again.
Thomas Broughton: Hi.
Gordon McGuire: Just two quick modeling questions. I thought mortgage banking was down quite a bit this quarter both on a seasonal basis and kind of in the year-over-year. I think last call you had discussed kind of flattish mortgage revenues in '18 versus '17. Is that view now changed? And can you just give us a general sense of what the drivers to the softness this quarter were?
William Foshee: Yes, Gordon, I think the issue right now is we’ve lost some originators in a couple of our markets and are looking to replace those. I think that really had an impact on the first quarter. I don’t really know going down the road with the rates going up, what’s out there especially from a rate financing standpoint. So I don’t really have a great forward forecast for that to be honest.
Gordon McGuire: Sure. And can you remind how much of those originations, I guess, into '17 had been refi versus kind of new purchase? Do you have that on you?
William Foshee: No, I don’t have that. I can look and send that to you though.
Gordon McGuire: That will be great. And I guess just next question, my last one, the expense this quarter were up a good bit primarily in the compensation and occupancy line. How much of that was related to annual adjustments versus maybe some new hires in the quarter or some additional investments. And if it was kind of that the latter, can you speak to those and how you’re thinking about reinvesting into the franchise this year?
William Foshee: You’re looking at fourth quarter to first quarter, is that what you’re looking at?
Gordon McGuire: Right. So I’m seeing it looks like expenses or salaries were up about 16% and occupancy up about 25% quarter-over-quarter.
William Foshee: Yes. We had in -- fourth quarter we had two big adjustments. We adjusted our depreciation. We were over depreciated for the year plus we were over accrued in property taxes and that was about $650,000 adjustment in the fourth quarter plus we were -- we made an incentive accrual reversal in the fourth quarter of last year of $786,000. So it's really the fourth quarter was down due to adjustments more than we’ve added staff and really increased -- really have increased our expenses in 2018 that much, it's just fourth quarter was down due to those adjustments.
Thomas Broughton: Base salary expense is up 6.8% year-over-year, quarter-over-quarter -- not year-over-year, quarter-over-quarter, first quarter to first quarter.
Gordon McGuire: Sure. All right. Well, that’s all I had. Thank you guys very much.
William Foshee: Yes, I will get you some detail on refinance for last year.
Gordon McGuire: Thank you.
Thomas Broughton: Yes. The refinanced volumes have certainly dropped for -- not only us, everybody in the industry, but best thing to know, the mortgage business is not our largest contributor to net income on a recurring basis.
Gordon McGuire: Sure. Thank you, guys.
Thomas Broughton: Well, thanks everybody for being on the call. If you have any other questions, please let us know. We appreciate your interest in our company. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.